Operator: Good day. And welcome to the Danaos Corporation Conference Call to discuss the Financial Results for the Three Months Ended March 31, 2015. As a reminder, today’s call is being recorded. Hosting the call today is Dr. John Coustas, Chief Executive Officer of Danaos Corporation; and Mr. Evangelos Chatzis, Chief Financial Officer of Danaos Corporation. Dr. Coustas and Mr. Chatzis will be making some introductory comments and then we will open the call to question-and-answer session. Please go ahead, sir.
Evangelos Chatzis: Good morning, everyone, and thank you for joining us today. Before we begin, I quickly want to remind everyone that management’s remarks this morning may contain certain forward-looking statements and that actual results could differ materially from those projected today. These forward-looking statements speak and are made as of today and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review this detailed Safe Harbor and Risk Factors disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and accompanying materials. Now, let me turn the call over to Dr. Coustas, who will provide a broad overview of the quarter.
Dr. John Coustas: Thank you, Evangelos. Good morning. And thanks for joining today’s call to discuss our results for the first quarter 2015. Danaos is reporting an another solid quarter with adjusted net income of $30.6 million or $0.28 per share, more than quadrupling the adjusted net income of $7 million or $0.06 a share that has been reported first quarter of 2014. The company’s profitability improved between the two quarters through $10 million improvement in net financing costs, together with $4.5 million improvement in operating costs and a $3.1 million increase in operating revenues. The trend of reduced financing costs and as a consequence increased the earnings will continue through 2015, as we continue to reduce debt and benefit from the expiration of expensive interest rate swaps. The container charter market, we saw a significant increase in Panamax rates during the first quarter of 2015, due to increase demand resulting from port congestion in the U.S. West Coast and continued shrinkage of the world Panamax fleet. The delay in the opening of the new Panama Canal will further help to absorb Panamax tonnage in shorter, while delays caused by port congestion in the U.S. West Coast, resulted in increase demand in the Asia to U.S. East Coast all weather service. These factors have positively affected TEU mile demand in the industry. We continue to maintain our strong 97% charter coverage in terms of operating revenues, which insulates us for market volatility. Additionally, our $5,622 a day operating costs for the first quarter clearly positions us as one of the most efficient operators in the industry. We will continue our effort to deliver our balance sheet, manage our fleet efficiently and capitalize in the resilience of our business model towards creating value for our shareholders. With that, I will hand the call over back to Evangelos who will take you through the financials for the quarter. Evangelos?
Evangelos Chatzis: Thank you, and good morning again, everyone, and thanks for joining us today. I will briefly review the results for the quarter and then give the participants the opportunity to ask questions. During the first quarter, we had an average of 56 container ships compared to 58.6 container ships during the first quarter of 2014. Our adjusted net income was $30.6 million or $0.28 per share for the quarter, higher by $23.6 million or 337% when compared to the $7 million or $0.06 per share of adjusted net income for the first quarter of 2014. This improvement is attributed to $16 million improvement in financing costs together with a $4.5 million improvement in operating cost and $3.1 million increase in operating revenues between the two periods. Our financing costs will continue to improve in the coming quarters as we continue to de-lever our balance sheet and expensive interest rate swaps continue to expire. To put this into perspective, our adjusted net income currently at $30.6 million would have been $50.9 million or $0.46 per share instead of $0.28 if the current interest rate swaps were not in place. These swaps have already started to expire and will continue to expire through the remainder of the year. As a result, we expect the consistent improvement in financing costs over the next quarters, given the market expectations for low interest rates to persist. We have average charter duration of 7.8 years well exceeding the one year less on the swaps. We believe that we will be able to take advantage of the anticipated low LIBOR environment on the back of solid contracted income generation. Operating revenues increased by 2.3% or $3.1 million to $138.6 million in the current quarter compared to $135.5 million in the first quarter of 2014. This is attributed to $1 million of net incremental revenues between the vessels bought and sold between the two periods, together with $2.1 million of higher revenues related to the revenue recognition accounting of the Zim restructuring that became effective during the third quarter of last year. Vessel operating expenses decreased by 9.6% or $2.9 million to $27.3 million in the first quarter of 2015 compared to $30.2 million in the first quarter of 2014. The average daily operating cost per vessel decreased by 8% to $5,622 per day for the current quarter from $6,110 per day for the first quarter of 2014. Out of this 8% decrease, 5% is attributed to an 18% improvement in the average euro-dollar exchange rate between the two periods while the remaining 3% is mainly attributed to the sale of the older vessels in our fleet, whose contribution to daily operating expenses was higher than the fleet average. Management believes that our daily operating cost ranks as one of the most competitive in the industry. G&A expenses decreased by $0.1 million to $5.3 million in the current quarter from $5.4 million in the first quarter of 2014. Interest expense decreased by 13.3% or $2.8 million to $18.2 million in the current quarter compared to $21 million in the first quarter of 2014. The decrease in interest expense was mainly due to lower average indebtedness between the two quarters of $219 million to approximately $3 billion in the current quarter from $3.2 billion in the first quarter of 2014, as well as a decrease in the cost of debt servicing between the two quarters mainly attributed to the accelerated amortization of our fixed rate debt, which bears a higher cost compared to our floating rate debt. Realized losses on interest rate swaps decreased by $12.4 million to $21.1 million in the current quarter, compared to $33.5 million in the first quarter of 2014. This decrease is attributed to almost $1.1 billion of lower average notional amount of swaps between the two quarters as a result of swap expirations. Finally, adjusted EBITDA increased by 6.5%, or $6.3 million to $102.7 million in the current quarter from $96.4 million in the first quarter of 2014. The increases are attributed to the aforementioned $3.1 million increase in operating revenues and the $3.2 million decrease in total operating expenses between the two periods. With that, I would like to thank you all for listening to this first part of our call. Dr. Coustas and I will now take questions. Operator, we are ready to open the call to Q&A.
Operator: [Operator Instructions] We have a question from Gregory Lewis from Credit Suisse. Please go ahead.
Gregory Lewis: Thank you and good afternoon and congratulations on a good quarter.
Dr. John Coustas: Thank you, Greg.
Gregory Lewis: John, in your prepared remarks you focused a little bit more on the port strikes on the West Coast and the delays to the Panama Canal is sort of main drivers of the pickup in charter rates. Beyond these two events, which are more transient in nature, are you seeing signs of actual real pickup in TEU demand without those two events?
Dr. John Coustas: Well, there is demand and actually what is happening is that as most of the new tonnage is really large Post-Panamaxes then the -- I mean, these ships cannot be used, let’s say very efficiently. So the actual, let’s say -- if I can say efficient capacity that is put into market is lower than the nominal one. So this means that also cascading is a bit becoming, let’s say kind of more difficult in this process. And we see also demand from more regional trades, quite a piece of the intra-Asia, for Africa and all this, let’s say is an important factor. The other thing which I said is that exactly because of the strike in the U.S., then people are becoming almost much more skeptical about using U.S. West Coast and the land bridge, and they shift, let’s say, cargo from the West Coast to all other services either through Panama or water via Suez. So this is a definite increase in demand in, let’s say, the mile demand. And that is a more permanent structural effect that we see happening in the market.
Gregory Lewis: Yes. It seemed like that was only a matter of time before that was going to happen. And then just as we think about your existing -- you have a handful of vessels that roll off charter this year. It almost sounds like those are while historically they might have been or not historically -- over the last couple years they might have been more challenging vessels to reach charter simply because they are more on the sub Panamax. Just given what’s going on in the market, it seems like there will be opportunities. Do you believe to recharter these vessels this year?
Dr. John Coustas: Well, we definitely believe that all the vessels that are rolling out this year will be rechartered at higher rates. It will be fair of course how much higher from segment to segment.
Gregory Lewis: Okay.
Dr. John Coustas: But definitely we see that market being definitely firming. I don’t believe that we are going to see some kind of rates, let’s say, the Pamamaxes up on $25,000 or $30,000 a day. But I think at the level they are now, maybe slightly above, it’s only say to stabilize for the time being.
Gregory Lewis: Okay. Great. And then just one final for me. And I am not sure how much you can comment about this. But it’s our understand that there is still a lot of opportunities whether it’s from existing owners that are looking to sell tonnage or even at this point banks that are controlling some of this tonnage and it’s primarily the KG market. From where you see -- when you look at these opportunities, is this something that Danaos maybe can participate in or is it just more of a function of, hey, we just need to really focus on our balance sheet before we can potentially partake in some of these transactions that are out there in the market?
Dr. John Coustas: We definitely have some kind of higher power and we are actively looking onto interesting, let’s say, secondhand deals. And if we are confidently in touch, we are expecting vessels. So if there is something that we believe that makes sense like for example the last deal with the MOL vessels that we did, we are there to do something.
Gregory Lewis: You are open for business.
Dr. John Coustas: Yes. We are definitely open for business, it does that -- we are not there to do kind of financing type deals, deals that you take ships from the banker with very high leverage, very high percentage at considerably higher price than the market because with these deals you may well make some money in the future, but I don’t believe that. I mean, these deals make sense if you believe that there is a significant kind of asset play and I don’t believe really as what we have a significant asset play let’s say, game here mainly because all kind of asset values and not just in containers but in all sectors are capped by the very big shipyard surplus capacity.
Gregory Lewis: Okay. Perfect. Thank you very much for the time.
Dr. John Coustas: Thank you.
Operator: And our next question is from Omar Nokta from Clarkson Capital Markets. Please go ahead.
Omar Nokta: Hi there. Good afternoon, guys.
Dr. John Coustas: Hi, Omar.
Omar Nokta: Hi. I just wanted to ask a couple of questions. One, you obviously spent a lot of time discussing the swaps and those have been obviously going in your favor now. Can you give a sense of during the first quarter what was the average interest rate that you had on the debt that was not swapped?
Dr. John Coustas: The average margin on our debt for Q1 was 200 basis points over LIBOR. And we have a small chunk of debt, which is now down to whatever $40 million, $50 million, which bears an 8% fixed interest rate, has been repaid. And together with the swaps because we are swapped out of LIBOR for certain part, the all in cost is the 200 basis points I mentioned plus another around 2.7%. so for Q1, the all in cost was 4.7% and that will go down to 200 basis points plus LIBOR when the swaps expire.
Omar Nokta: Got it. Thank you.
Dr. John Coustas: By year end. Yeah.
Omar Nokta: And then just sort of thinking about the market and we’ve obviously -- and you’ve been discussing at rates have been on the rise for the mid-size tonnage. Nothing significant, but at least some light that been on the tunnel. Is this sort of continuing and asset value start to gain some traction, how do you see that playing into your loan agreements currently?
Dr. John Coustas: Our loan agreements are not affected by the movement in charter free asset values. If that is a question, all of our covenants and asset cover ratios have been harmonized across the board to include the value of the charters. And if anything as asset values continue to improve, these metrics will of course improve, but this will not trigger something specific.
Omar Nokta: Okay. Yes. Thanks for that. And then just finally, I just wanted to ask. I know on the last call, you’d mentioned the two NOLs vessels acquired last year. We expected to deploy them on maybe six month charter and churn up looking at your fleet schedule they’re on contract till year end. Are you able to give a rate on -- or what the rate was on those ships?
Dr. John Coustas: Unfortunately this is not publicly disclosable due to confidentiality agreements, but I can’t -- what I can tell you is that it’s in the high teens.
Omar Nokta: Okay. That helps. Thanks guys.
Operator: And our next question is from Charles Rupinski from Global Hunter. Please go ahead.
Charles Rupinski: Good afternoon, and congratulations on a good quarter.
Dr. John Coustas: Thanks Charles.
Evangelos Chatzis: Hi Charles.
Charles Rupinski: Hi. Just most of my questions have been answered but just look to maybe get some feel from you on to the extent that you are able to do selective acquisitions going forward. What type of sort of size would be the sweet spot in terms of what's most interesting that’s out there? And also potentially what kind of charter length you think might be the -- where you are looking to go on those, just whatever color you have?
Dr. John Coustas: Well, we don't really have -- we are looking at let's say every ship on its kind of old marriage. In general, we prefer let’s say the post Panamax to the Panamax segment. But of course, if there is a fantastic opportunity also in the Panamax segment we will have a look. In terms of charter, normally I mean we don't want to buy ships with charter attach that deflate the asset price. We are trying really to buy ships at market price and then charter them out at, let’s say periods that really give a good return in the market I mean between let’s say I don’t a year two or something. But it has more to do with market kind of appetite.
Charles Rupinski: Well, great. That's very helpful. Thank you.
Dr. John Coustas: Thank you.
Operator: [Operator instructions] Our next question comes from Mark Suarez from Euro Pacific Capital. Please go ahead sir.
Mark Suarez: Hi. Good morning gentlemen.
Dr. John Coustas: Hi Mark.
Mark Suarez: Just looking at your feet right now I'm considering some of the [H][ph] profile with some of your vessels. How should we think about maybe some potential additional asset sales over the next 12 to 18 months? Is there a possibility here?
Dr. John Coustas: I don’t really see -- we don’t really have -- we only have one ship which was built in ‘94 which in any case its pretty good ship and very good. Actually although it’s a 4700 TEU vessel. It’s a Post-Panamax with very good capacity, pretty comparable to moderate vessels. And it earns a decent charter rate at this moment. So, I don’t really see any kind of -- really, any sales of tonnage that cannot be operated. I think we are done with this scrapping of all kind of older ships.
Mark Suarez: Got you. Then maybe just turning to your balance sheet for a second here, I believe you are expecting to pay down north of $220 million in 2015 in terms of debt. I’m wondering if you have a sort of -- a target for 2016, and then how should we think about your interest expense run rate as we head into over the next 12 to 18 months, if you will?
Evangelos Chatzis: Yeah. As you rightly said, our anticipation is that we’ll pay down debt by $225 million approximately this year through our financial model. Our projection is that next year we’ll be able to reduce debt by more than $280 million. And all that you can also find guidance on that in our corporate presentation that is posted on our website, publicly available.
Mark Suarez: Got you. That’s all I have for now. Thanks, guys.
Evangelos Chatzis: Okay. Thanks.
Operator: It appears we have no further questions at this time. I’d like to turn the call back over to Dr. Coustas for any further comments or closing remarks.
Dr. John Coustas: Thanks all for joining the conference call and your continued interest in our story. We look forward to hosting you on our next earning calls. Have a nice day.
Operator: Thank you. This does conclude today’s teleconference. We would like to thank everyone for their participation. Have a wonderful afternoon.